Operator: Good morning, ladies and gentlemen. Welcome to the Largo Resources Ltd. First Quarter 2021 Results Conference Call. [Operator Instructions]. This call is being recorded on May 13, 2021. I would now like to turn the conference over to Alex Guthrie. Please go ahead.
Alex Guthrie: Thank you, operator, and welcome, everyone, to Largo's First Quarter 2021 Financial Results Conference Call. Today's call is being recorded, and a replay will be available starting tomorrow within the Investor Resources section of our website at largoresources.com.  Our first quarter 2021 results press release, MD&A and financial statements are also all available on the company's website. Some of the information you will hear during today's discussion will consist of forward-looking statements, including, without limitation, those regarding future business outlook.  In addition to non-IFRS financial measures, such as cash operating costs and cash operating costs excluding royalties, total cash costs and revenues per pound sold will also be discussed during this conference call. Actual results discussed during today's call could differ materially from those anticipated and risk factors that could affect these results are detailed in the company's AIF and other public filings, which are also available on the company's website and on SEDAR and EDGAR. Further information regarding Largo's use of non-IFRS measures is also available in our first quarter 2020 results -- 2021 results press release and in the company's latest MD&A, which are available on our website.  Market and industry data contained and incorporated by reference during this call concerning economic and industry trends is based upon good faith estimates of our management or derived from information provided by industry sources. Largo believes that such market and industry data is accurate and the sources from which it has been obtained are reliable. However, we cannot guarantee the accuracy of such information, and we have not independently verified the assumptions upon which projections of future trends are based. Lastly, all financial results presented during today's call will be in U.S. dollars, except as otherwise noted.  Speaking first will be Largo's President and CEO, Paulo Misk, who will provide highlights from the company's first quarter 2021 results; followed by Largo's CFO, Ernest Cleave, who will then provide additional detail on the company's Q1 2021 financial performance. Following Ernest, Largo's Director -- VP of Commercial, Mr. Paul Vollant, will provide an update on Largo's sales and trading progress as well as the vanadium market. And concluding today's call will be Largo's VP of Engineering, Mr. Shazad Butt, who will provide an update on the company's Clean Energy division progress and development. Finally, we will open the call to questions provided to our company's Q&A portal.  I will now turn the call over to Paulo for opening remarks.
Paulo Misk: Thanks, Alex. And thanks to everyone for joining the call today. It has been just over a year since the global COVID-19 pandemic began, and people, communities and business continue to be affected in one way or another. Our utmost gratitude is extended to the frontline workers and our thoughts continue to be with those affected by this virus. Largo continues to adapt during these unprecedented times, and I'm very proud of the entire team who have consistently delivered on our set targets while following the new and updated health and safety protocols. We remain fully committed to protecting the health and the safety for our people and continue to maintain the necessary protocols to help mitigate the spread of COVID-19 at our operation and throughout our local communities.  The beginning of 2021 was an extremely productive quarter for the company. In January, we completed our nameplate capacity increase project in addition to performing a comprehensive plant maintenance program at our production facility in Brazil. We expect to reach our new nameplate production capacity of 1,100 tonnes of V2O5 per month by the end of Q2 2021.  We also made considerable progress in advancing our Clean Energy division to begin scaling up our in-house manufacturing capability to meet the fast-growing demand from the long-duration energy storage sector. In April, we secured our U.S.-based stack manufacturing facility and product development center, which is expected to have an annual manufacturing capacity of 1.4 gigawatt hours. This facility will be the global headquarters of our Clean Energy division. We also approved a location for the manufacturing facility in New Hampshire, U.S. for our Clean Energy division electrolyte production and assembly of the containerized VRFB system.  We have also strengthened our executive team at Largo in Q1 with the appointment of Mr. Ian Robertson to the company's Board of Directors; and Mr. Salvatore Minopoli as VP of Operations of our Clean Energy division. Ian was the Senior Co-Founder of Algonquin Utilities Corp. and brings extensive energy industry experience and will prove invaluable as well as we continue to advance our Clean Energy division. Salvatore brings over 30 years of U.S. energy industry experience to the Largo's executive team, including extensive development and execution of the utility-scale projects in both regulated and merchant energy market in the U.S. and internationally. He also has extensive experience in the successful development execution of renewable projects, holding leadership position for both major U.S. utility energy technology providers. Supported by robust sector demand and global carbon reduction targets, we continue to view the strategic growth opportunities associated with our Clean Energy division as a strong source of value creation for the company and look forward to provide an additional update on our strategy soon.  Moving along to additional quarterly updates. I'm pleased to report that Largo delivered solid first quarter 2021 financial results, with higher commodity price contributing to revenues of USD 39.8 million and an 8% increase in revenues per pound sold. The company also achieved net income of $1.4 million or basic earnings per share of $0.07. We ended the quarter in a strong liquidity position with a cash balance of USD 48.7 million.  Largo produced 1,986 tonnes of V2O5 in Q1 2021, representing a decrease of 3-0, 30% over Q1 2020. This reduction was primarily attributable with a planned shutdown to implement upgrades to the kiln and improvement of the cooler in January. This shutdown lasted for 20 days, with a further 4 months required for the commissioning and ramp up for the new equipment. And I am pleased to report that the production in April with a 1,092 tonnes of V2O5.  The company's Q1 2021 global recovery of 77.4% was lower than the 79.9% in Q1 2020. Again, the main impact were related to the shutdown completed in January and the subsequent commissioning and ramp-up activities in February and March. Following this activity, the global recovery is expected to return the levels in 2020.  With regards to sales, in Q1 2021, the company sold 2,783 tonnes of V2O5 equivalent, representing a decrease of 12% over Q1 2020. The lower quarter-over-quarter sales was also a result of lower production during Q1 2021. We are pleased to report that the company completed its first sale of iron ore in April from the Maracás Menchen Mine. We would like to highlight that our first sale of iron ore was a key step in validating the commercial viability of this material and also highlight the added benefit of our new established internal sales divisions, while capitalizing the higher iron ore price environment. We continue our active discussions with end users for this material and expect to complete additional sales of our material in 2021. We will look to provide specific details on price and quantity at such time.  In March, the company was excited to announce the construction approval of new ilmenite concentration plant at Maracás Menchen Mine. Commercial production from these new plants is expected to early 2023, and its capacity will be approximately 150,000 tons of ilmenite concentrate per year. The investment in engineering and construction of this plant is expected to cost approximately USD 25 million, with the majority of these costs being incurred in 2022. We also plan to further evaluate our potential to produce titanium dioxide segment as a possible follow-on product from our ilmenite concentrates. We expect to provide the associated economics of these projects in conjunction with our updated technical report, which is anticipated in late Q2 2021.  We are excited with the prospect of this project as combined with our iron ore sales. It is another step in increasing and diversifying the company's revenue structure.  We are also very pleased to report that on April 19, Largo's common share began trading on the Nasdaq under the symbol of LGO, representing a significant milestone in the evolution of the company. We believe this listing will provide Largo with increased visibility with prospective U.S. investors, improve the company's liquidity and assist in developing a more diversified shareholder base as we continue our anticipated growth plan.  Looking ahead, we remain diligently focused on delivering profitable growth in 2021, supported by a healthy balance sheet and favorable vanadium market fundamentals. I am pleased with our progress so far in advancing the company's Clean Energy division as we continue on the path of becoming a leading player in the long-duration energy storage sector with our superior VRFB technology. We continue to view our entrance into this sector as a transformational opportunity to create significant value for the company, supported by increasing sector demand and global carbon reduction targets.  And with that, let me turn the call over to Ernest, who will provide highlights from our first quarter financial performance.
Ernest Cleave: Thank you, Paulo, and thank you, everyone, for joining us today. As Paulo previously mentioned, elevated commodity prices provided positive tailwinds for our financial performance in the first quarter. In Q1 2021, the company recognized revenues of $39.8 million from sales of 2,783 tonnes of V2O5 equivalent. This represents a decrease of 4% in revenues over the $41.9 million in revenues recognized for Q1 2020. Revenues per pound sold increased by 8% to $6.49 in Q1 2021, which compares to $6 per pound in Q1 2020.  The company recorded net income of $4.1 million in Q1 2021 compared to net income of $4.3 million in Q1 2020. This movement was primarily due to decrease in revenues and an increase in operating costs, professional, consulting and management fees as well as finance costs, but these costs were partially offset by a decrease in foreign exchange loss and exploration and evaluation costs. Basic earnings per share was $0.07 for Q1 2021, which compares to basic earnings per share of $0.08 for Q1 2020.  On the cost front, operating costs increased by 7% to $28.2 million in Q1 2021, from operating costs of $26.2 million in Q1 2020. Q1 2021 operating costs include direct mine and production costs of $15.5 million, which compares with $17.5 million in Q1 2020; conversion costs of $2.2 million versus 0 in Q1 2020; production acquisition costs of $2.5 million versus 0 in Q1 2020; royalties of $1.5 million, which compares with $2.3 million in Q1 2020; distribution costs of $1.2 million versus 0 in Q1 2020; and depreciation and amortization of $5.3 million, which compares with $6.4 million in Q1 2020. The decrease in direct mine and production costs is mainly attributable to the decrease in V2O5 equivalents sold in Q1 2021, conversion costs related to the cost incurred in converting quantities of V2O5 into ferrovanadium for delivery to customers and distribution costs related to the costs incurred in delivering products to customers. In Q1 2020, the company only sold V2O5 to its then offtake partner and was not responsible for shipping products to its customers.  Cash operating costs, excluding royalties, were $2.87 per pound in Q1 2021 compared with $2.66 for Q1 2020. The increase seen in Q1 2021 compared with Q1 2020 is largely due to a decrease in produced V2O5 equivalent sold, in turn, resulting from the planned shutdown during Q1 2021. Total cash costs exclude royalties and include the company's total professional consulting and management fees and other general and administrative expenses and is calculated on total pounds of V2O5 sold.  For Q1 2021, total cash costs were $4.07. Professional consulting and management fees were $3.6 million in Q1 2021 compared with $1.7 million in Q1 2020. The increase is primarily attributable to costs incurred in Q1 2021 in connection with Largo Clean Energy and the company's sales and trading segment that were not operational in Q1 2020. In addition, the company's corporate segment incurred legal and regulatory costs in Q1 2021 in relation to the Nasdaq listing process.  The foreign exchange loss in Q1 2021 decreased from Q1 2020 by 79% to $1.8 million. This is primarily attributable to a strengthening of the U.S. dollar against the Brazilian real by approximately 10% since December 31, 2020 on U.S. dollar-denominated cash and liabilities in Brazil.  Cash provided by operating activities of $1.7 million in Q1 2021 is an increase from cash used in operating activities of $1 million in Q1 2020. This was primarily due to an increase in cash provided before working capital items of $14 million and partially offset by a net decrease in working capital items of $11 million. The net movement in working capital items is largely driven by increases in amounts receivable and inventory balances and the increased settlement of accounts payable and accrued liabilities during Q1 2021.  As Paulo mentioned, we remain extremely focused on delivering profitable growth in 2021, supported by the company's healthy balance sheet and favorable vanadium market fundamentals. We expect free cash in the range of $40 million to $50 million for 2021, which is inclusive of a $15 million working capital facility the company recently financed in Brazil and the repayment of debt of $25 million, which occurred during Q1 2021. The $15 million working capital facility is due to be repaid as a lump sum in 1 year together with accrued interest at a rate of 2.28% per annum and will be utilized for the company's ongoing growth projects.  With that, let me hand it over to Paul Vollant, who will provide an update on the company's sales and trading progress as well as the vanadium market.
Paul Vollant: Thanks, Ernest, and thanks, everyone, for joining the call today. In Q1 2021, the company sold 2,783 tonnes of V2O5 equivalent. Largo delivered both standard grade and high-purity V2O5 as well as ferrovanadium. We continue to actively manage our logistics and supply chain operations to provide premium products and services to customers globally.  During Q1 2021, the average price per pound of V2O5 in Europe was $7.09, an increase of 34% from the average of $5.29 in Q4 2020. The current average price as published by Metal Bulletin in Europe is $7.70 per pound of V2O5. Demand in all the company's key markets remained strong in the past quarter, with solid consumption in the steel and chemical sectors. The aerospace industry is the only main vanadium market currently lagging behind expectations due to the particular impact of the COVID-19 pandemic on this sector. We now expect a gradual recovery and maintain a strong focus on developing new markets for high-purity products.  Importantly, we're extremely excited about the commercial opportunities of our Clean Energy division, expanding our sales into the growing vanadium redox flow battery market is a key focus, and we are very pleased with the end users' interest for our VCHARGE system. With the addition of Salvatore Minopoli to our team, I have no doubt that Largo will become a leading, long-duration energy storage provider.  Finally, in March, we concluded our first sale of iron ore, and since then, finalized a couple more. We are in advanced discussion with several domestic and international buyers to maximize the opportunity of the current historical record prices.  In summary, as we are supported by a world-class vanadium supply, we are focusing on becoming a key player in the energy storage industry with our superior VCHARGE battery. And driven by post-COVID stimuli, ambitious CO2 reduction targets and solid fundamentals globally, we are very optimistic about Largo's vast market opportunities.  With that, I will hand it over to Shazad Butt, our VP of Engineering, who will provide an overview of our Clean Energy division developments in the first quarter.
Shazad Butt: Thank you, Paul, and thanks again to everyone for joining the call today. As Paulo and Ernest mentioned, we had a very productive beginning of this year and really working to establish our Clean Energy division. During Q1 of 2021, the company finalized the manufacturing strategy for Largo Clean Energy and began to establish the supply chain required to deliver on our targeted deployments, time lines and cost structure.  In April of 2021, we secured a location for our stack manufacturing and product development center in Massachusetts, with an expected nameplate manufacturing capacity of 1.4 gigawatt hours per year. This facility will act also as the global headquarters of the company's Clean Energy division.  In addition, we've also approved a location in New Hampshire for our electrolyte production and the manufacturing of our containerized systems. To give a bit more context to these 2 facilities, as mentioned before, we'll manufacture the battery stacks and continue our product development activities in the Massachusetts facility. And in New Hampshire, we'll manufacture the batteries' electrolyte solution, the electrolyte storage containers as well as the containers that house battery stacks. From these facilities, the components will be shipped directly to customer sites for simple and efficient project deployments.  We're also progressing with the regulatory certification of the VCHARGE system under both UL 1973 as well as the UL 9540 requirements and expect to conclude this work through this process shortly. There's a lot to be done and the hiring of additional personnel to support our anticipated growth targets is also ongoing.  As Paul mentioned, we're certainly seeing a clear demand shift towards longer-duration energy storage applications, driven by global carbon emissions reduction targets and a significant need to integrate renewable energy into the grid. This can only be accomplished efficiently by utilizing long-duration storage, something that we, at Largo, have pioneered with the VCHARGE system. We see this market trend as a key opportunity for Largo as our proprietary VCHARGE system has a clear operational and economic advantage for long-duration applications over the competing battery technologies. And I'll reiterate, our team remains in active discussions with end users around the world to sell and deploy our first systems now, and we will keep the market updated in this regard.  With that, I'll hand the call back to Alex for Q&A.
A - Alex Guthrie: Thanks, Shazad, and thanks, everyone, for providing questions today through the portal or in advance. Our first set of questions comes from Andrew Wong at RBC. The first one reads: Chinese steel production is still very strong with steel margins at record highs. Are you seeing this translate into increased demand for vanadium? And in Europe, steel production has gotten back to pre-COVID levels. Have you seen this translate into increased demand as well? Also, please comment on inventories and how improved European steel production and record production out of China is impacting them. Paul, let me hand this question over to you.
Paul Vollant: Thanks, Andrew. Certainly, the vanadium demand in the steel industry has been very solid since the start of the year in China, in Europe, but also in the U.S. There are no official figures on inventory on a global basis, but price increases of about 40% since the start of the year would definitely indicate that demand growth has been stronger than supply. So yes, we're seeing very good impact of the increased production in the steel industry as it relates to vanadium demand.
Alex Guthrie: The next question from Andrew reads: how is the production ramp-up process going? Once fully ramped up, what kind of global recoveries can we expect? Do you think you'll be able to run above nameplate capacity like in the second half of 2020? I'll pass this off to you, Paulo.
Paulo Misk: Thanks, Andrew, and I hope you are keeping well. We successfully completed the nameplate increase project in January. In February and March, the production was lower due to the commissioning and ramp up. We expect to conclude this process in Q2. But we are very happy to report that in April, we have produced already 1,092 tonnes of V2O5. So despite of this lower production in Q1, the company's guidance for cost and production in 2021 remains unchanged.  With regard to global recoveries, we had a lower recovery in Q1 as a result of this commission and ramp-up period. In April, however, it was already 39%, and we are expecting to reach 80% in Q2 and 81% in the second semester. So we are very confident and very pleased in all the results we have been reached in Q1.
Alex Guthrie: The next one reads: iron ore is sitting around $230 per tonne in China. With iron ore at record levels, what are your options from monetizing the stockpiled ore at Maracás Menchen Mine? Have you been able to sell any more? And what kind of profit do you expect to realize at these prices? Paul, let me hand this one over to you.
Paul Vollant: Yes. Thanks, Andrew. As I mentioned before, since the first iron ore sales in March, we have concluded a couple more with local customers in Brazil. And today, we're in advanced discussions with several domestic and international buyers. From a commercial point of view, we see the current price levels as a real opportunity for Largo to maximize sales and profits from its iron ore product. And really, our goal is to try and seize this window of opportunity as much as possible. So we're working very hard at it.
Alex Guthrie: Thanks, Paul. I'll pass the next one over to you as well. Just to discuss if you've seen a rebound in high-purity sales from aerospace industry. And how do you think this will affect realized pricing?
Paul Vollant: On the aerospace industry, Q1 was a very low quarter of sales. Demand, again, has been really impacted by the COVID-19 pandemic on the aerospace industry. And at the moment, our key commercial focus is on increasing our market share so that we're well positioned when demand returns.  Also, an important thing to note is the addition of our vanadium trioxide, V2O3 product, from the third quarter of this year that will enable Largo to expand its market share in the high-purity market. And yes, I mean, customers in this sector highly value the high-purity of our products, and that has a direct impact on the final price for Largo.  Finally, I just want to stress that the chemical sector is also a very fast-growing, high-purity market for Largo, and we're pressing hard also to increase our market share in the chemical sector.
Alex Guthrie: Thanks, Paul. Another question from Andrew reads: are you able to give us any insight into anticipated CapEx for LCE past 2021? And do you expect much higher CapEx in 2022? Also, what kind of SG&A costs can we expect for this business?  Ernest, let me pass this one over to you.
Ernest Cleave: Thanks, Andrew, and thanks for your questions. And let me start it by saying I think it's important to note that our Clean Energy division is not a very capital-intensive endeavor as the majority of our operations in LCE relate specifically to the assembly of off-the-shelf parts, such as tanks, clamps and pumps. As we mentioned in our release earlier this month, we anticipate CapEx of approximately $4 million to $5 million for LCE in 2021.  Regarding OpEx, we expect overhead and development costs to be in a range of approximately $8 million to $10 million for 2021. Further to that, we will look to provide any remaining future guidance during our battery, which we plan to assume.
Alex Guthrie: Thanks, Ernest. The last question from Andrew reads: what type of NPV or returns do you expect from the new ilmenite concentration plant? And Paulo, I'll hand this one over to you.
Paulo Misk: Thanks, Andrew. Good question. We are excited about this project, and looking forward, the expected diversification, an increase in the company's revenue following its completion. If you look at the latest movement in the market, ilmenite price have been steadily increasing and currently sit at about $275 per tonne. We expected a low OpEx for this project.  As the material, the feedstock for the ilmenite has been mined already in Russia that is needed in our operation for vanadium. We expect commercial production starting in early of 2023, and the plant's capacity will be about 150,000 tonnes of ilmenite concentrate per year.  I would also like to highlight that we were to complete this project, and we will also continue to explore the feasibility of extracting the additional value from that titanium source -- resource that we have, including this titanium dioxide segment production project, which we expect to add much more value to our company.
Alex Guthrie: Thanks, Paulo. The next set of questions comes from Lee Cooperman at Omega. I'll read these off in succession and we can have the team answer where appropriate. When should we expect firm orders for batteries? And what is the expected timing of your Battery Day?  The next one is, what do you expect these 2 new consultants for the company to do? And what is their expected costs? What are you getting for current vanadium sales in terms of price per pound? And do you have an option of the outlook for prices?  And the last one reads, please provide CapEx for 2021 and 2022. So Paulo, I'll pass the first few off to you.
Paulo Misk: Thanks, Alex. And thanks for your questions, Lee. I will take the first three, and then I will pass to Ernest. Lee, we are in active discussion with the multiple end users and are working to close our first contract, I think, pretty soon. As you are aware, new -- we disclosed recently that we have secured multiple facilities to build our manufacturing capabilities with the nameplate capacity of 1.4 gigawatt hours. We expect starting delivering the batteries in 2022 and reach the nameplate capacity in 5 years' time, of course, depending on the storage market behavior. So with that, we are very excited about the opportunities that exists with our Clean Energy division, and we look to provide updates related to the contract structure.  With regard to Battery Day, we are finalizing some of the details internally, and we'll make an announcement soon and with respect of the all the timing and details and targets. I hope, with the first contract already signed, that, that will be the cherry of the pie.  We were very excited to announce that Largo have hired the advisory service of energy industry titans, Jeff Chamberlain and Bart Riley. Both individuals will provide Largo's Board with advice on further developing on our energy -- Clean Energy division, including advise on the overall strategy, leveraging their contacts with key individuals in companies in the battery storage and power industry and assist also Largo in understanding the overall market fundamentals as well as gain access to the new energy storage projects around the world.  In terms of costs, their advisory fee is normal compared to the market practice. However, their expertise and the service that they will provide are invaluable.  Ernest, I will ask you to answer the remaining questions, please.
Ernest Cleave: Thanks, Paulo. Lee, thanks for the questions and for joining the call. Our revenue per pound sold in Q1 was $6.49. And that, if you compare that to last year the same period, it was $6. As Paul mentioned, we anticipate a price of around $7 to $8 per pound throughout the remainder of the year. But there is a chance of appreciation, as you see post-COVID economic recoveries will effect and new stimulus programs being instituted.  Regarding our CapEx for the year, we -- and these numbers are in various places, but we expect $7 million to $9 million for our V2O3, $8 million to $10 million for sustaining CapEx, then $4 million to $5 million for capitalized stripping and $4 million to $5 million of CapEx for LCE. We haven't provided CapEx guidance for 2022, but we want to provide that later towards the end of the year, as per our usual time lines for disclosure.
Alex Guthrie: Thanks, Ernest. Our next set of questions come from Carlos De Alba from Morgan Stanley. The first one is, when will the Battery Day take place? And can you share expected volumes and potential EBITDA targets? Paulo, I'm going to hand this one over to you.
Paulo Misk: Thanks, Carlos, and I appreciate that you joined the call today. We remain very excited with this Battery Day. And as I answered Lee, we have announced already our facility to build out our manufacturing with 1.4 gigawatt hour nameplate capacity. We expect starting delivering the batteries next year. And there will be a ramp up, and in 5 years' time, we expect to reach that full capacity. It will be a huge amount of storage energy deployed every year.  But anyway, we will disclose all those targets details in the Battery Day that we would like to announce soon. And I hope it can be not take too long to have this day. But thank you for your question. That's a really material issue for us.
Alex Guthrie: Thanks, Paulo. The next one from Carlos reads: is there any seasonality in volumes and/or costs for the remaining of 2021? And Ernest, I'll pass this one over to you.
Ernest Cleave: Thanks, Alex. Carlos, I think as we mentioned previously, there were some impacts to [indiscernible] volumes, but those were as a result of our planned shutdown in January. But there really is nothing with respect to seasonality. I will just refer back to our unchanged guidance and reiterate that we expect to deliver on those targets in 2021.
Alex Guthrie: Thanks, Ernest. We have a few questions submitted by Gordon Lawson at Paradigm Capital. The first one reads: how much volume of V2O5 do you expect to use in the battery division this year or next? Paulo, I'll hand this over to you.
Paulo Misk: Thanks, Gordon, and thank you for attending this call today. Yes, we do not expect to use any vanadium in the Clean Energy division this year. We -- our focus is to build up all the structure and the capability for manufacturing and to be able in delivering our batteries in 2022 and beyond.  So after 2021, we will remain subject to demand in the market. And as it's very demanding, we expect to grow our -- the amount of batteries deployed. So we are very optimistic in this regard. I think it's important to say that this storage energy development is our priority. But anyway, more details will be disclosed in the Battery Day, and I ask for your patience.
Alex Guthrie: Thanks, Paulo. The last question from Gordon reads: is the new 1.4 gigawatt hour per year facility going to be building the same patented systems obtained from the VionX agreement? Are there going to be other options? Shazad, let me pass this one over to you.
Shazad Butt: Thank you, sir. And thanks, Gordon. I'm happy to answer this. You're correct. The facility is located in Massachusetts and New Hampshire will be leveraged to scale up the in-house manufacturing capabilities up to 1.4 gigawatt hours and produce a range of power and energy configurations of the current patented, scalable VCHARGE system.  Keep in mind, our stack manufacturing facility in Wilmington, Mass. will also act as a global headquarters for our Clean Energy division and be the location for ongoing product development. And in regards to other product options then, it's our goal to consistently innovate our product to remain competitive with existing and new technologies and requirements within the long-duration energy storage sector. But right now, our focus is on deploying the current superior product, which is best suited for the 6 to 10 hour long-duration storage sector.
Alex Guthrie: Thanks, Shazad. Our next few questions come from Jim Young. The first reads: can you provide insight into customer demand by geography and customer type, particularly in regard to high-quality aerospace and market demand? Paul, I'm going to hand this one over to you.
Paul Vollant: Sure. Thanks, Jim. In terms of geographies for our steel customers, we're very well diversified. It depends from 1 quarter to another, depending on where we see the highest demand and price. But essentially, if we look at the 3 big regions being the Americas, EMEA and Asia, we would normally budget to sell about 1/3 in each region for the steel industry. For our high-purity market, especially in the aerospace industry, we are really focused on Europe and North America.
Alex Guthrie: Thanks, Paul. Next one from Jim reads: the company's ore grade appears to be getting lower. Is this a near-term or longer-term secular issue? Paulo, let me hand this one over to you.
Paulo Misk: Thank you, Alex. Thank you, Jim. Thank you for joining today. In fact, I don't see this grade, ore grade, getting lower. It's not a behavior in our -- doing our operation, at least what we have done up to now. To be frank, I expect that this -- it will be better when you go deeper as you get -- getting close to the pit.  But anyway, I think it's -- the behave that you are talking about is largely related to our mining plan and the mining sequences at Campbell. And if you look at the production data since 2016, the effective grade has varied between 1.27%, it was in 2016, to a high of 1.43%, which we got in 2018. But I don't believe, and I don't see a strong trend of -- on the variance of the ore grade.  If we look at the company's remaining deposits located in the north of Campbell, mainly the Novo Amparo Norte, this deposit does contain lower V2O5 grade, it's true, than the Campbell. However, the amount of titanium content and the titanium grade, it's based on our drilling results, okay? It's not a -- we don't have the final tech report based on we have done all the exploration work since 2018. If you look at the 2017 tech report, you will see that you have -- the titanium grade is more in those other deposits. And I think it will compensate. We are concluding this tech report. So -- but I really believe that we compensate the lower grade, and will remain our competitiveness of the mine -- overall mine.  We look to release the results of our updated tech report in early June to upgrade and expand our [indiscernible] reserves in addition to incorporate the [indiscernible] project in our plan. So I can see a very good plan, a very good future for our mine in Maracás.
Alex Guthrie: Thanks, Paulo. The next question is with respect to cost trends and if we see any issues to be concerned about. Ernest, let me pass this one over to you.
Ernest Cleave: Thanks, Jim. Good to hear from you. I wouldn't say that there are issues to be concerned about from the company's perspective. We are seeing a strengthening of the Brazilian real against the U.S. dollar, and candidly, a similar trend, the strengthening of the Canadian dollar versus the U.S. dollar. Brazil has recently increased interest rates, while the U.S. has engaged in some very well documented quantitative easing. So we anticipate a second round of interest rate increases in Brazil and for U.S. monetary policies to continue unabated. So I would say that both was the case for continued Brazilian real strengthening. We will continue to monitor the movements and make all the necessary adjustments we can. But again, I will say our cost guidance remains unchanged for 2021. Thank you.
Alex Guthrie: Thanks, Ernest. The last question from Jim is with regard to the market. Many other commodity prices, notably iron ore and copper, amongst others, are up significantly, but vanadium is lagging. Do you have any additional insight on this? And Paul, let me pass this one over to you.
Paul Vollant: Sure. Thanks, Jim. And I understand this question. It's true that, unlike iron ore and copper, vanadium prices are not at the historical highs. But if we look from a percentage increase perspective since the beginning of this year, vanadium prices have gone up by more than 42%. And that is very much in line with iron ore increase, and it's actually better than copper prices increase since the start of this year.  So really, most industrial metals have enjoyed a very good 2021 so far. And the fact that vanadium prices are not at the historical highs today perhaps means that there's even more room for them to increase. So yes, really, we had a good start of this year, plus 40% across the board.
Alex Guthrie: Thanks, Paul. I just received a few more follow-on questions. So the next one is from Heiko Ihle from H.C. Wainwright. This is with respect to the working capital financing facility, a few things there. Do you plan on drawing more money? Can you draw more money on this facility? And lastly, why draw $15 million when you have your cash balance as of the end of Q1? And Ernest, I'll just pass this one over to you.
Ernest Cleave: Thank you. I think what we will say here is we were able to secure this working capital financing at a very attractive interest rate, and we wanted to be opportunistic so that really was one of the main drivers. We expect to utilize the facility for the company's growth project -- growth projects, including our V2O3 plant and additional developments with the LCE division. So that $15 million is already drawn down.
Alex Guthrie: Thanks. And then just another one here, a follow-on from Carlos at Morgan Stanley. Do you expect an even distribution of production and sales in the coming quarters to meet your annual guidance? And maybe Paulo, maybe I'll pass this one over to you.
Paulo Misk: Thank you, Alex. Yes. Thank you for your question. We are planning the large Battery Day, which will be in the form of webcast and a company media day, and we will focus this -- we're going to show the healthy development strategy. Also, we're going to discuss the economics of our business model. I think it should be one of the main things that will show because it's really unique.  Also, we're going to talk about our VCHARGE system and how it differentiates from other technologies. We will show that we have very advanced stage. It's the third-generation already. It provide a higher density, which allow us going forwards to have a lower cost on the total battery. So all those things will be much clear during the Battery Day. And also, we're going to show the details of our sizable growth opportunity in the long-duration energy sector. It will be, I think, very, very valuable, and I expect you all can be attending this Battery Day as well. But we will provide the date of this event soon. And we'll issue a press release in the appropriate time and details as well.
Alex Guthrie: Thanks, Paulo. I just have one last follow-on from Carlos. And Ernest, maybe I'll pass this one over to you. Just with regard to if we have expectations for working capital and cash from operations in the coming quarters. And I'll just pass this one over to you.
Ernest Cleave: I think what we can assume at this stage is that our working capital is largely embedded in the organization already. So during May, June, July of last year, we really put in place the inventory levels and receivables and payables that are typical of our organization going forward. So absent a significant increase in scale and organization, those are pretty standard. We try and keep our inventory levels, floating inventory levels in the organization, whether they be in transit or in warehouses just shy of the 3,000 tonne marks or sort of between 2,800 and 3,000. So we will continue doing so, but I don't see large movements in working capital, if I'm understanding your question correctly.
Alex Guthrie: Great. Thanks. Ladies and gentlemen, that concludes our question-and-answer session. I'm going to pass it back over to Paulo for any closing remarks.
Paulo Misk: Thanks, Alex. And thanks to everyone for your time today. I would just like to emphasize that our production sales and cost guidance for 2021 remains unchanged. And we look forward to delivering on those targets in this year ahead. We are confident that our Clean Energy division remains a significant source of value creation for Largo, and we will look forward to releasing strategic announcements in this regard in the future. So on behalf of our growing team here at Largo, I look forward to sharing our progress with you in the next quarter, and thank you for your time today.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.